Operator: Good afternoon. My name is Stephanie, and I will be your conference operator today. At this time, I would like to welcome everyone to the M/I Homes year end conference call. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. I would now like to turn the conference over to Phil Creek. Please go ahead sir.
Phillip G. Creek: Thank you very much. Joining me on the call today is Bob Schottenstein, our CEO and President; Tom Mason, our Executive Vice President; Paul Rosen, President of our Mortgage Company; Ann Marie Hunker, our VP Corporate Controller; and Kevin Hake, Senior VP. First to address regulation per disclosure, we encourage you to ask any questions regarding issues that you consider material during this call because we are prohibited from discussing significant non-public items with you directly. And as to forward-looking statements, I want to remind everyone that the cautionary language about forward-looking statements contained in today’s press release also applies to any comments made during this call. Also be advised that the company undertakes no obligation to update any forward-looking statements made during this call. With that, I will now turn the call over to Bob.
Robert H. Schottenstein : Thanks, Phil. Good afternoon everyone. Thank you for joining our call to review our fourth quarter and full year results. We are very pleased with our fourth quarter and full year results highlighted by $47 million bottom-line improvement over last year and a return to full year profitability. In achieving these results, we made significant progress on a number of fronts. Pre-tax income from operations for the fourth quarter was $7 million compared with $1.4 million on last year’s fourth quarter. In addition, it’s worth noting that we made $18 million from operations during the first nine months, or during the last rather nine months of 2012. Our fourth quarter new contracts increased 33%, with about 9% increase in community count. And we ended the year with 965 homes in backlog and only 300 units more than a year ago. Value of our backlog is up 56% representing our highest year end backlog, both in units and dollar value since 2006. The year-over-year improvement in our profitability result from a 21% increase in closings, a 9% increase in our average selling price and a 200 basis point increase in adjusted gross margins with 2012 margins reaching 19.5%. We delivered 887 homes in the fourth quarter, 33% more than a year ago and 2,765 homes for the full year, resulting in $762 million of total revenue for the year, which is an increase in revenue of 35% over 2011. The material improvement in our gross margins was the result of the continued solid performance of our new communities, along with the strategic shift and our geographic footprint which resulted in more closings in our better performing markets. Additionally, our mortgage and title operations also contributed significantly to our profitability in 2012 and Paul Rosen will speak more about that in a few minutes. With macro housing conditions continuing to show noticeable signs of improvement, we are very excited about the future. We have a solid position in each of our markets and we expect to continue to expand our community count and grow our aggregate market share in our existing markets, all the while remaining focused on continued improvement and profitability. More specifically, we estimate that in 2013, our company wide community count will increase by 25%. We have materially strengthened our land position, particularly in Raleigh, Charlotte, Tampa, and Orlando and expect strong results in these markets in 2013 and beyond. We will also continue the successful expansion of our footprint in Texas. As many of you will recall, we first opened in Houston, Texas two and a half years ago. We first opened in San Antonio, Texas approximately one and a half years ago. And we announced our entry into the Austin markets during the third quarter of 2012 expecting to open our first communities in Austin later this year. Whenever you open in a new division, your investment levels typically precede sometimes by a significant amount your revenues. And then the years that [liable] for us, we expect meaningful growth in Texas that will further strengthen our operating leverage and improve our profitability. Let me just say a few more words about our specific regions, before I turn this call back over to Phil. First, the Midwest region, we delivered 318 homes in the Midwest during the fourth quarter 1,113 homes for the year, which represents 40% of our business. It’s important to note, that the ratio of closings in the Midwest has declined from 53% of total deliveries in 2009 to now 40%. This is all pursuant to an intentional strategic shift in our geographic footprint. Our deliveries in the Midwest for the fourth quarter increased 27%, compared with last year. New contracts in the Midwest for the quarter were up 18%. Sales backlog was up 13% in the Midwest from the start of the year in dollar value, and we increased our controlled lot position in the Midwest by more than 300 lots we’re about 7% from a year ago. We ended the quarter with 61 of our active communities in the Midwest, which is a slight increase 3% to be exact from the end of last year. Despite overall improvements, the Midwest markets do vary a bit in their condition, the Chicago has difficult macro conditions, it continues to be one of our absolute best performing markets. And I’m happy to report the conditions have improved and so has our performance in both Indianapolis and Columbus. The Southern region, we delivered 280 homes in the Southern region for the fourth quarter, which is a 59% increase from last year and represents – and we delivered 823 homes in the Southern region for the full-year. New contracts increased 66% for the quarter, sales backlog at year-end was 140% higher than it was at the start of the year. Although as I’ve noted we’re really just getting started in some of our Texas markets, and we’re coming off of a low base. Our southern region is comprised of Florida and Texas, and our Texas expansion will continue to help fuel our growth. We have seen significant improvement in our Florida markets, as I noted a few moments ago, achieving solid results in both Orlando and Tampa. We increased our controlled lot position in the Southern region by nearly 1500 lots or about 61% more from a year ago, and we have 37 communities in the Southern region at year-end which is a 32% increase from the prior year. In the Mid-Atlantic region our new contracts were up 20% for the quarter compared with 2011, backlog value was up 80% at year end from the start of the year. We delivered 289 homes in the fourth quarter, a 20% increase from last year and 829 homes in the Mid-Atlantic region for the year. Our North Carolina markets both Charlotte and Raleigh continue to perform very well for us. Charlotte experienced improved margins and a very strong increase in sales in 2012 and joined with Raleigh as one of the top markets within our company. Washington D.C. continues to be a healthy market. We’ve experienced improved sales there over the past few months after a slight tightening of demand there during the middle part of last year. And with that, I’ll turn things over to Phil to more thoroughly review our financial results.
Phillip G. Creek: Thanks, Bob. New contracts for the fourth quarter increased 33% to 673 with a net absorption rate of 2.0 sales per community per month. Our traffic for the quarter increased 20%. Our sales were up 5% on October and traffic was up 21%. Sales were up 55% in November and traffic was up 12%, and our sales were up 59% in December and traffic was up 31%. Our active communities increased 7% from 122 last year to 131 this year. The breakdown by region is 61 in the Midwest, 37 in the South and 33 in the Mid-Atlantic. During the quarter, we opened 12 new communities while closing 9 and for the year, we opened a total of 46 new communities and closed 37. And at December 31, 77% of the communities that we are selling out of our new and we define new as those opened since January of ’09. Our current plans for 2013 are to increase our community count by about 25% by year end opening more than 65 new communities. We project that our Southern region led by our Texas growth in all three markets will add the most new communities in 2013. We delivered 887 homes in the fourth quarter, up 33% when compared to last year’s 667 deliveries. And we delivered 75% of our backlog this quarter compared to 80% a year ago. Revenue increased 42% in the fourth quarter and increased 35% for the year compared to the same periods in 2011. Our average closing price for the fourth quarter was 273,000, up from 257,000 for last year's fourth quarter. And for the year, average closing price was 264,000, versus 242,000 in 2011. In the fourth quarter, we recorded pre-tax charges of $1.6 million for impairments. Our 2012 charges were primarily for legacy land assets in the Midwest. Our gross margin, exclusive of impairments, was 19.6% for the quarter, up 120 basis points year-over-year. And for the full year, we were very pleased that our gross margins improved 200 basis points to 19.5%. We are dealing with construction cost increases, led by lumber and drywall, and we continue to focus on improving our gross margin percentage in dollars. And we are pleased that our average sale price and backlog continues to increase and is now $26,000 higher than a year ago. Land gross profit was $240,000 in 2012 fourth quarter compared to zero in last year's fourth quarter, and for the year land gross profit was $1.7 million compared to $100,000 last year. Our fourth quarter SG&A expenses were 15.2% versus 15.9% a year ago. Our fourth quarter G&A expenses increased $5.7 million compared to a year ago, with about half of that increase due to our growth in Texas and variable incentive compensation. And the increase in variable incentive compensation was due to our significantly improved results. And for the year, our SG&A expense ratio improved almost 200 basis points and we expect additional expense leverage in 2013. Interest expense decreased to 116,000 for the quarter and increased $1.1 million for the 12 months of 2012 when compared to last year. Interest incurred was $6.1 million in the fourth quarter of this year compared to last year's fourth quarter of $5.7 million. The increase in interest expense for the year is primarily a result of higher average borrowings outstanding, which is offset by a lower average borrowing rate and higher capitalization. We had $7 million of pretax income from operations for the fourth quarter and had $18 million of operating income during the last nine months of 2012. We generated $18 million of EBITDA for the quarter and [capitalized] interest 2.4 times for the year and had $56 million of EBITDA for the year. We have $15 million in capitalized interest on our balance sheet compared to $19 million a year ago which is about 2% of our total assets. We reported a non-cash after-tax benefit of $1.4 million in the fourth quarter for evaluation allowance related to our deferred tax assets. And at December 31, 2012 our gross deferred tax asset is a $136 million and is fully reserved. Based on discussions with our auditors, we currently estimate that we will be able to reverse our deferred tax asset valuation by the end of 2014. Now, I'll turn it over to Paul Rosen to address Mortgage Company results.
Paul Rosen: Thanks, Phil. Our mortgage and title operations pretax income increased from $2.1 million in 2011’s fourth quarter to $3.5 million in the same period of 2012. Our fourth quarter results included increased income attributable to an increase in loans originated from 547 to 691. Additionally, higher average loan amounts became servicing rights, higher margins on the loans sold and an increase in our refinance business. We continue to see a shift towards conventional financing. The loan to value ratio on our first mortgages for the fourth quarter was 86% in 2012, the same as 2011’s fourth quarter. 61% of the loans closed were conventional and 39% were FHA/VA, this compares to 55% and 45% respectively for 2011 same period. Overall, our average total mortgage amount was $240,000 in 2012’s fourth quarter compared to $218,000 in 2011’s fourth quarter. The average borrower credit score on the mortgages originated by M/I Financial was $739 in the fourth quarter of 2012 compared to $731 in 2012’s third quarter. These scores compared to $737 for the fourth quarter of 2011 and $734 for the third quarter of 2011. Our mortgage operation captured 83% of our business in the fourth quarter, the same as 2011. During the fourth quarter, we’ve closed on an additional mortgage warehouse facility. The new facility allows for an additional 15 million in borrowing availability and expires November 12, 2013. At December 31, 2012 we had $7 million outstanding under the $15 million credit facility and $61 million outstanding under the existing $70 million M/I F credit agreement. In the normal course of business, we receive inputs concerning underwriting manners on specific loans that have been purchased from us. We thoroughly review and respond to each enquiry and even though we are not required to do so, we routinely engage an independent third party to review the files and information related to the origination of each mortgage. Our reserve at December 31, 2012, with respect to these matters, is $2.3 million and was $2.2 million at September 30, 2012. M/I Financial has not repurchased any loans this year. Now I’ll turn the call back over to Phil.
Phillip G. Creek: Thanks Paul. As far as the balance sheet we continue to manage our balance sheet carefully, focusing on investing carefully in new communities and also managing our capital structure. Total home building inventory at 12/31/12 was $557 million, an increase of $90 million above prior year levels, primarily due to higher investment in our backlog. Our unsold land investment at year end was $256 million a 5% increase compared to a year ago. And compared to a year ago, raw land and land under development increased 36%, and finished unsold lots decreased 12%. At December 31, we had $119 million of raw land and land under development and $137 million of finished unsold lots. Our unsold finished lots totaled 2,725 lots with an average cost of $50,000 per lot and this $50,000 average lot cost is 17% of our $293,000 backlog average sale price. The market breakdown of our $256 million of unsold land is $94 million in the Midwest, $65 million in the South and $97 million in the Mid-Atlantic. Lots owned and controlled at the year end totaled 14,200 lots, 52% of which were owned and 48% under contract. We owned 7,400 lots of which 46% are in the Midwest, 29% in the South, and 25% in the Mid-Atlantic. And our owned and controlled lots of 14,000 is an increase of 37% versus a year-ago. We believe we have a very good solid land position. 35% of our owned controlled lots are in the Midwest, 35% of our land is in our Southern region and 30% is in the Mid-Atlantic. A year-ago, 45% of our land was in the Midwest. In 2012, we spent a $134 million of land and $56 million on land development for a total of $190 million. About 16% of our land purchases were in the Midwest, 45% in the South and 39% in the Mid-Atlantic. And as to the [typo], our 2012 land purchases about 60% were in land deals, 20% were finished lot pickups, and 20% have been bulk finished lot purchases. Our estimate today for 2013 land purchase and development spending is $250 million to $300 million. And at the end of the year, we had 90 million invested in specs, 266 that were completed and 383 specs under construction. This translates into about five specs per community. And at the 649 total specs, 264 were in the Midwest, 201 are in the Southern region and 184 in the Mid-Atlantic. At December 31, 2011 we have 573 specs with an investment of 85 million. We have continued to focus on managing our leverage and liquidity. During the third quarter, we enhanced our capital structure by issuing 58 million of convertible senior subordinated notes due 2017 and 2.4 million common shares which yielded net proceeds of 97 million. As a result of our equity issuance in the third quarter and our profits over the past three quarters, our restricted payments basket under the indenture governing our 2018 senior notes is now a positive $39 million. Thus the payment of dividends is again being discussed at our quarterly board meetings including our upcoming board meeting in mid-February. The determination as to whether to pay dividends will be based on a number of factors including our financial results, financial condition, and market and economic conditions. Our financial condition continues to be strong with a $154 million of cash at year end. And at year end, the company had no borrowings under our $140 million credit facility. This completes our presentation. We will now open the call for any questions or comments.
Operator: (Operator Instructions) Your first question comes from the line of Alan Ratner with Zelman & Associates.
Alan Ratner – Zelman & Associates: Good afternoon guys. Thanks as always for the great disclosures. Bob, my first question just relates to the gross margin. Your margins are flat little bit over the past few quarters albeit at a normalized level. But when you think about what other builders are saying in terms of their ability to more than offset the cost inflation through price increases. My question is based on your geographic footprint, which is generally seeing less pricing power than west and the builders that are experiencing some pretty significant increases there. Yet at the same time you are competing against them for materials and appliances on all barriers, inputs that are seeing some significant inflation. So I wonder should we be a little bit more tepid as far as our margin outlook for you given the fact that your costs are going up yet maybe – you don’t have the same ability to push those prices on to the consumer.
Robert H. Schottenstein: Good question. Our view is as follows. We feel very good about our margins for 2012. We feel good about the 200 basis point increase. The increase has been – as we've noted primarily fueled by increasing closings from new communities. Clearly, we've seen and it's not this way in every market, but an increasing number of markets and submarkets that we are in, we have seen pricing power as well. I’m not going to profess to be an expert on the conditions out in the Far West other than what you REIT suggested there has been some more significant pricing power in some of those areas as you’ve noted. As it relates as going forward, we are going to be continuing to open new communities, close to 25% increase in the upcoming year. All of those new communities are under written with an expectation of the same minimum returns that we've always thought. And we're going to expect them to perform at that level. We believe we can manage the cost increases. We do not believe for any disadvantage when it comes to that. We've been able to manage thus far, and I don't – more I can say about it in that, because we are not providing any guidance in terms of forward margins for the year other than to say that we believe, we can manage the situation. And like I say we are not concerned about it but I do think its one condition that we can and will manage.
Alan Ratner – Zelman & Associates: I appreciate that. And if I could add a following just on, on the Texas operation, I think Phil gave a number I might have missed it, but in terms of the overhead this quarter or if you want to talk about it for the year, can you give us just a rough number in terms of costs that were associated with the Texas or expanding into your Texas markets and ultimately what we could expect and leverage of that going forward or how long it might take to see a return on investment.
Robert H. Schottenstein: Just before Phil jumps in, I’m not sure how clear I was in my remarks, but we’ve got 12 divisions and for all intensive purposes clear from less than two and a half years old. And whenever you start up, as much as you would like expenses to follow revenues opening up a new division is tend to be the opposite where investment proceeds revenues and proceeds returns, and we are expecting very significant growth in those markets over the coming years, which will give us we believe noticeable operating leverage. I don’t know Phil if you want to add any?
Alan Ratner – Zelman & Associates: I guess just to be expose to that and I appreciate that. So if I think about the $20 million of corporate G&A, can you give us a dollar amount that’s associated with those three divisions?
Phillip G. Creek: No, I can’t really break that kind of detail down, but what we’ve talked about Alan, if you look at it, our SG&A expenses for the year were in the 15.5% range. In 2011, they were almost 200 basis points higher than they are. What we stated in our remarks was, we do think and plan on giving additional expense leverage in 2013. Bob talked about that, haven’t been in Texas hardly two years or so, or Houston rather off, and San Antonio has been less than they are, we are just getting started in Austin. So we are not bringing a whole lot in comparing to what we are going to from the revenue line. So we expect to get leverage on those expenses. Incentive compensation was lumpy in the fourth quarter, and also a little bit in the third quarter, we were very, very incentive, not only a little bit on customer service like always, but predominantly on getting back to profitability and significantly improving our results and Bob talked about the magnitude of that results. That incentive compensation was accrued primarily as we made money, and having made the majority of the money the last few months of the year, if that’s why that was lumpy in there. But again it’s our view that we will get expense leverage in ’13, working very hard on that.
Alan Ratner – Zelman & Associates: Thanks a lot.
Operator: (Operator Instructions) Your next question comes from the line of Alex Barron with Housing Research Center.
Alex Barron – Housing Research Center: Yeah thanks guys. I wanted to see if you could elaborate a little bit of more of this still on the SG&A, I understand that one component I guess tends to be more variable with volume or with sales, and the other I guess this is more corporate related. Under corporate side, can you give some sort of a run rate. I mean, this year was, as you stated was kind of lumpy in the fourth quarter. So I’m just trying to see if there is some sort of a dollar run rate or something you can give us to get a sense of where 2013 might come in.
Robert H. Schottenstein: No Alex that expensed type projections other than we were given you that we expect additional leverage again when you look at corporate, there’s various things in corporate as far as systems and HR and department expenses and those have to franks, Again incentive compensation varies based primarily on income. And again it was a situation where we lost about $4 million in the first quarter of this year, so obviously there was very, very little variable incentive compensation in there that we made like 300 million or so in the third quarter. So again it was just really lumpy towards the end of the year. I think if you look at our results over the year, we had pretty good returns et cetera in the past, and again we expect to get some leverage there. It takes a while especially for some of the start-ups in taxes and so forth to roll in as far as revenue and profits, but again no other projections that we've already given that we do expect additional leverage.
Alex Barron – Housing Research Center: Okay. What about on the margin side, obviously you guys hit pretty well on the last couple of quarters, due to that that 19.6 sort of a sustainable rate?
Phillip G. Creek: Bob made that comment about how we are working very, very hard on margins. I also made the comment that we are working not only on margin percentage, but margin dollars. If you look at the average sale price and backlog, it's gone up like the last seven quarters from 250 to 290 so hopefully that's going to help margin dollars. Also we’re seeing today more options being selected that margins are in general higher on those, I think it's safe to say our margins cannot move that little faster this year than we thought, we're very happy with that. But also opening 65 or so new communities this year, hopefully that would help our margins, so everybody is fighting. Cost pressures, we are given but that is best we can, trying to make sure we’re taking advantage of the pricing power we have. So again working very hard in improving margins, we were able to move them up 200 basis points this past year and we’ll continue to work on that, but 90 projections or anything.
Alex Barron – Housing Research Center : Okay. And on the detail you mentioned that you’re going to get it definitely by 2014, but I would have thought by my math that your pretax income on a cumulative three year basis, you would be pass the profitability point sometime in the middle of 2013. So why until 2014? What else are they looking for?
Ann Marie Hunker: That’s a conservative estimate.
Robert H. Schottenstein: I’m sure Alex, we are focused on…
Ann Marie Hunker: As soon finish we can get it, but…
Robert H. Schottenstein: And we have conversations every quarter in detail with our auditors.
Ann Marie Hunker: It’s very difficult to pin them down.
Robert H. Schottenstein: May be reverse that as soon as we can, but we did want to get something in the marketplace and that’s what we said. We currently estimate that we will be able to reverse it by the end of 2014. If there is anyway to get banks and sooner we will do that, but again we continue to look at that. That’s a very big number to us.
Alex Barren – Housing Research: Right. So are they giving you any like specific metrics to [AMAD] or is it just intangible?
Ann Marie Hunker: Well, we’ve only had two real big quarters of profitability, and our cycle is 16 quarters. So we have to look at 16 quarters and we have to have projection. So that’s where we are…
Alex Barron – Housing Research Center : Okay. Because I mean obviously the projection looks good, but I don’t now it was 16, I thought it was just 12.
Ann Marie Hunker: But we have to have – we can use projections, but they carry less weight, because we haven’t had – we’ve only had two quarters of real profitability. So they are not putting – actually in the net income basis as to.
Alex Barron – Housing Research Center : Got it. Okay, I will get back in the queue. Thanks.
Ann Marie Hunker: Obviously year-to-date three quarters.
Phillip G. Creek: Yes.
Ann Marie Hunker: I’m sorry, three quarters.
Phillip G. Creek: Yeah. Again, if you look at it as far as the net income, we reported $3 million of net income (inaudible) 8 to 3, 5 to 4. It has been there in a row and hopefully we will continue that and again we'll keep our eye very much on this asset recognizing that is very sizable to us we understand that.
Alex Barren – Housing Research: Right.
Robert H. Schottenstein: We watch very carefully what other builders have done when they were able to reverse it, a lot of issues to same auditors so we are on top of that.
Alex Barron – Housing Research Center : Excellent, thanks.
Operator: (Operator Instructions) We have a follow-up question from Alex Barron with Housing Research Center.
Alex Barron – Housing Research Center : Yes, I’m the only one here. All right. On the land side I saw the numbers that you guys posted for owned lots and option lots and I guess there is a very significant jump especially, I guess it's a southern market. Can you give us a sense for those finished lots or those communities that are really start pretty soon like how many communities are involved in the (inaudible) communities?
Robert H. Schottenstein: Alex that the biggest impact for us is taxes, we are again we’re really get rolling and the lots are mixed I mean there is some law, there is some developed et cetera. That's the biggest jump in the under contract number that you're talking about.
Alex Barron – Housing Research Center : And what about the one that own, but also jump from like 1,450 to 2,160 was that those comparable community sizes between one quarter to the next or?
Robert H. Schottenstein: I'm not sure exactly what number you're talking about specifically again when you look at what were at 12/31/12 we owned 7,400. A year ago we owned 7,200 Eastern or Southern.
Phillip G. Creek: Yeah picked up the Southern region over there, are you just focused on the Southern?
Alex Barron – Housing Research Center: Yeah, yeah, yeah.
Phillip G. Creek: Well it’s, again it’s primarily Texas, but we also have had an increase in Orlando and Tampa. Bob talked about those markets and improve we have a leadership position there. So it’s pretty much across all five of our operations there, Tampa, Orlando, Houston, Austin and San Antonio.
Alex Barron – Housing Research Center: Okay, and are you guys still kind of looking to enter other markets, and if so would it be more on a non-acquisition basis, or Greenfield?
Robert H. Schottenstein: This point there’s no plans, present plans in our any new markets. But we are always looking where we think it might make sense and beyond on that, there is really no comment.
Phillip G. Creek: It just depends on what option you will be able find Alex, I mean, the key is to find a really, really good operator. Some times those operators hit business, some times they don’t, et cetera, but again we’re open to different opportunities.
Alex Barron – Housing Research Center: Right and I know you just obviously you came to the market. Lots of other brokers have been coming seems more often and ramping up their land spend, is that something you think might be possibility again on 2013?
Kevin C. Hake: So this is Kevin, you don’t want to come into market for raising debt, or…
Alex Barron – Housing Research Center: Debt, yeah.
Kevin Hake: We are always looking you’re right, we just did convertible and equity issuance in September. We do a lot of time and effort on planning our less side of our balance sheet and looking at our projections for spending and now like the areas we’re going to be opening in each of our markets. And we’re always considering whether we have the capital employees that we need for at least the next 12 months and we’re always looking at that. Right now, nothing planned, but we’re always looking at it.
Alex Barron – Housing Research Center: Okay, got it. Thanks.
Phillip G. Creek: Thank you.
Operator: (Operator Instructions) There are no additional questions at this time.
Phil Creek: Thank you very much for joining us. We look forward to talking to you at the end of first quarter.
Operator: Thank you. This concludes today’s conference. You may now disconnect.